Brian Siegel: Thank you, operator. With me today are Wayne Tupuola, Laser Photonics' CEO; and Carlos Sardinas, the Company's VP of Finance. Any forward-looking statements made during this conference call, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those that the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports the company periodically files with the SEC. Laser Photonics assumes no obligation to either update any forward-looking statements that is made or may make or to update the factors that may cause actual results to differ materially from those they forecast. I will now turn the call over to Wayne, Laser Photonics' Chief Executive Officer.
Wayne Tupuola: Good morning, ladies and gentlemen. Thank you for joining us. This morning, we reported second quarter 2024 results. Regarding the lower revenue, we believe approximately $1 million was deferred into the second half of the year. This deferral was simply a timing issue with several customers whose capital expenditure review and approval processes were delayed. While this was disappointing, we haven't seen any evidence that this is more than a delay in the future quarter. Moving to our growth and operational excellence initiatives, as we mentioned each quarter sales and marketing remain key areas of focus and investment for us. To this end, we recently announced a partnership with Echelon 1 to further our efforts to bring CleanTech systems to the Department of Defense. More recently, we announced the addition of four new roles to help grow our sales in laser systems, all licensed from Fonon. We believe we'll help drive sales across our various verticals and product lines over time. As an innovation-driven company, we've also continued to invest in R&D and product development to stay ahead of the competition. We believe that the new features and industry-specific products we are developing and commercializing will help accelerate sales growth and continue to provide us with a technological advantage over the competition. As I mentioned on previous calls, our plan was to introduce several new product lines this year and the next generation of our CleanTech line. On that note, we announced our SaberTech line of laser cutting tools based on our Turbo Piercing technology. We also introduced our Laser Shield Anti-Drone or LSAD concept for laser-based defense against drone swarms and upgraded CleanTech products. To increase awareness of this concept, we initiated a successful ad campaign with a 30-second commercial on Fox Business and CNBC during key programs including Squawk Box, Mad Money, Opening and Closing Bells, Mornings with Maria and more. If you didn't catch it on these shows, you can find it on our YouTube channels as well. Given our commitment to R&D, product development and expanding sales and marketing capabilities, we're looking for opportunities to reduce costs to help offset or optimize these investments. For example, as part of our ongoing commitment to operational excellence, we have plans to continuously enhance our manufacturing operations to reduce COGS as we scale through process refinement and identify opportunities for cost efficiencies. In addition, we are focused on optimizing our marketing strategies, forming a task force comprised of key members from various departments to ensure a comprehensive and effective approach. This cross functional group will bring together expertise from finance, engineering, research and development and operations. The goal is to leverage diverse perspectives in developing a robust marketing plan aligned with our business goals and current market conditions. The task force will have specific objectives, analyzing existing marketing strategies, identifying areas for improvement and creating a comprehensive marketing plan that is innovative and targeted. By utilizing a cause and effect framework, we'll assess past challenges and their impacts addressing vulnerabilities proactively while capitalizing on opportunities for growth and success. In summary, with our new products, distribution and technology partnerships and increased sales and marketing efforts, we have built an estimated pipeline of over $70 million. While this won't all close this year, we believe it prepares us for improved results in 2024 and it bodes well for our medium to long-term growth prospects. I will now turn it over to Carlos to review our financials.
Carlos Sardinas: Thank you, Wayne. Revenue was down 35.5% to $0.6 million. CleanTech made up over 80% of our mix. Our gross profit was 51% compared to 71% last year. A change in accounting opinion from our new auditor resulted in us reporting previously disclosed distributions to Fonon in the cash flow statement, which will now be recognized as G&A expense in 2024 and moving forward. These higher operating expenses will result in larger losses now and moving forward compared to prior years. Overall, health of the company viewed through cash flow does not change. This change led to an operating loss year-over-year of negative $2.1 million in Q2, 2024 versus $0.7 million last year. Net loss decreased by 67% to $2.1 million again due to this change in accounting treatment and loss per share decreased by 122% to negative $0.20 per share. Our share count also increased significantly versus last year due to acquisitions of various licenses from Fonon. Finally, as you saw, we recently completed a private placement raising a net total of $2.6 million to increase our ability to invest in key areas including sales and marketing and new product development, which will increase our future shares outstanding. That concludes our remarks.
End of Q&A: